Operator: Greetings, and welcome to the IDEX Corporation's First Quarter 2017 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mike Yates, Vice President and Chief Accounting Officer. Thank you. Please go ahead.
Michael Yates: Great. Thank you, Brenda. Good morning, everyone. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Thank you for joining us for a discussion of the IDEX first quarter financial highlights. Last night, we issued a press release outlining our company’s financial and operating performance for the three months period ending March 31, 2017. The press release, along with the presentation slides to be used during today’s webcast can be accessed on our company’s Web site at www.idexcorp.com. Joining me today is Andy Silvernail, our Chairman and CEO; and Bill Grogan, our Chief Financial Officer. The format for our call today is as follows. We will begin with Andy providing an overview of the first quarter financial results and an update on what we have seen in the world. He will then walk you through the operating performance at each of our segments, and finally, we will wrap up with an outlook for the second quarter and full year 2017. Following the prepared remarks, we will open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately two hours after the call concludes by dialing the toll-free number 877-660-6853 and entering conference ID 13652253, or you may simply log on to the company’s home page for the webcast replay. As we begin, a brief reminder. This call may contain certain forward-looking statements that are subject to the Safe Harbor language in today’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that, I’ll turn the call over to our Chairman and CEO, Andy Silvernail.
Andrew Silvernail: Thanks, Mike. Good morning, everybody. I appreciate you joining us here for our first quarter conference call. Obviously, I am pleased with the results here for the quarter. It’s the first time and literally two years that we have had this kind of strong organic revenue growth, and we did see improvement overall throughout our businesses and the team is executing extremely well. As you know, we have been talking here for some time about the difficult market conditions, specifically in our industrial and in our energy markets. And I have been very pleased how our teams have tackled this over the last couple of years in this industrial recession. They have faced these pressures, they have delivered good results in the face of the challenges, and we are starting to see some recovery. In the first quarter, we saw evidence of this, really started in the third quarter of last year, we started to see a little bit of rebound in the late part of the third quarter, particularly in the North American industrial markets. And the improvements that we saw here in the first quarter was broad-based across most of our markets. This, on the industrial side, has been coupled with the continued strength in our life sciences, in our scientific businesses, and with this -- kind of all this coming together, we have a more favorable outlook for the balance of the year. Obviously, I am going to talk in depth here in a few minutes about what we are seeing inside of our businesses, but before that I thought I would take a look at what's going on in the markets and the regions. For the first quarter, we had -- I guess you get a really clear view of what we can deliver when you combine our ability to execute with some improved market conditions. We had organic revenue growth that was up 5%, really driven by outstanding execution in FMT which was up 6% organically, and HST which was up 5% and both of these delivered robust order growth as well. We had 5% order growth, organic order growth at FMT and 8% organic order growth at HST. FSD, a little bit of a different picture. We had 1% organic revenue growth. We had orders down 11% on an organic basis, but if you sieve [ph] through this, it's really due to some tough comps and the movement of some things late in the first quarter into the second quarter. So, overall, with FSD, no real concerns with the underlying order pattern. So, obviously, we are optimistic. We do remain a little bit cautious and I'm going to talk about that in a second. Some of the things that I think are out there that we just need to be mindful of. But our teams did a great job in the quarter. Overall, organic order growth was up 2% and organic revenue growth was up 5%, as I mentioned. Op margin was at 21.8%, which was up 120 basis points. Adjusted EPS was $1.03 which was up $0.14 or 16%. Cash flow was up 21% to $75 million, and I think importantly we did build $15 million of backlog in the quarter. Also in the quarter we did have about $5 million of restructuring cost, mainly around site consolidation, and this is all in support of the strategies that we have outlined about building some scale in our businesses and really driving long term competitive advantage, and our balance sheet is in great shape. We ended the quarter at about 1.7 times gross leverage and obviously very strong free cash flow. So taking a look at what's going on in the market in the regions around the world, first on the industrial side. As I mentioned, the industrial markets have improved across our regions. Importantly, in the North American industrial distribution, we had strength in the fourth quarter, late in the fourth quarter that has continued throughout the first quarter and really the first sustained rebound that we have seen here in some time. Energy remains somewhat mixed. Upstream has been good and we see that in our Band-It, in our sealing business, but as you know, that’s a pretty small part of our overall business. The midstream has remained pretty muted. You will see strength in aviation, in our mobile business, but overall as you look at truck build, those are down, had a very warm winter, and so that’s really been a mix. And that tends to lag anyway. Agriculture, we started to see signs of recovery. We started at the end of last year. I think it will be a slow pace, but generally the signs are positive. In scientific [fluidics] [ph], life sciences generally, continued strength in IVD, bio-analytical instrumentation and optics. And then finally on municipal. The trends have continued, kind of a steady Eddie market place and I think that will continue to be relatively decent for us. In terms of regions. North America really led the recovery. We saw strength across most businesses, most markets. And so those are favorable. In Europe, the conditions are also improved. Auto and housing have really been the two things that have led there. And generally we haven't seen any negative impact from Brexit, so a decent market in Europe. And then in Asia, the good story that we have had in India has continued and we did see some positive turn in China. So all this kind of adds up to some pretty good news and a more positive outlook certainly than we have had in some time, but I did want to talk about just a word of caution. So, obviously, we are happy with the broad-based improvements in the markets. Our team is executing very well. But I do want to be clear that I'm cautious about the overall outlook, and I am, as my personal view, is that the financial markets and the M&A markets have really fully priced in. That's good news. And the good news of improving demand, confidence levels are up. Obviously, low interest rates. And really up until the last week or so, I would say that the policy improvements of the U.S. had also been [prized] [ph], whether a tax reforms or infrastructure spending. While I don’t think that a lot of the risks have really been fully accounted for the the potential issues that are out there, that could impact demand. And I think it's important to note, whether it's political conflict or policy gridlock in the U.S., or really what has turned into a regular unpredictable U.S. domestic and foreign policy. And the reason I mention this, it's not that we have any control and we are certainly not experts at any of this, but I think it creates volatility. So as I look at the back half of the year, it's still pretty hard to get your head around some of these major impacts that could happen out there. So I am pleased to the start with 2017. The outlook has improved. But I think we have to be mindful not to get over our skies for IDEX to control what we can control and understand both the upside and the downside of the full risk and reward basket. Okay. Let me talk a little bit about capital deployment. Obviously, it's a big piece to our overall story and our strategy remains the same with a focus on long-term organic growth investments, disciplined M&A, consistent dividends, and opportunistic share repurchases. On the organic growth side, we believe that we have meaningfully outpaced our markets obviously in this quarter but also during the industrial recession. We took share in many of our businesses. And so we have been committed to invest for long-term organic growth. That commitment is not going to change. We believe that superior organic growth is the key value driver in our company, and we are going to continue to invest in projects and people that make the most strategic sense to us. And that the series of investments that we talked about in detail on our last call, those have started. And we have really committed ourselves to making sure we are making the investments going forward. In terms of dividends, our policy of being in that 30% to 35% range. We are going to continue to be there over time. Share repurchases, we nibbled a little bit around the edges here in the first quarter, pretty small numbers, 82,000 shares that were bought back. And as you all know, we have a very disciplined methodology of how we think about share repurchases. It's about driving long-term value for our shareholders and we are going to keep that discipline. In terms of M&A, the M&A funnel is solid. Not different from what we talked about here a few months ago. And we are continuing to work that funnel. Prices obviously continue to be elevated and so we are going to be selective and targeted and make sure that we put money to work in ways that are going to create shareholder value. And obviously we are in a position with our balance sheet and our cash flow to execute that strategy fully here going forward. All right. Let me turn to the first quarter results. I am on Slide 4. Revenue in the quarter was $544 million, which was up 10% in total, 5% organically. As I mentioned, it was driven by 6% and 5% organic numbers in FMT and HST. It's worth mentioning, as I did earlier, this is the first time we have seen organic revenue growth since the end of 2014. So, obviously, I am very pleased by that. Orders were up 8% at $569 million, 2% organically. As I have mentioned earlier, FMT was up 5%, HST was up 8%. And so the underlying business have nice, strong order rates here as we move into the second quarter. We also have built $15 million of backlog in the quarter. The team did an excellent job of executing and March was a particularly strong month for us. And obviously you have seen with the flow through to the bottom line, they have done a nice job. When you adjust for $5 million of restructuring, op margin was at 21.8%, which was up 120 basis points. And obviously I am pleased with the strong execution by our teams. Cash flow was a great story. Up 21%, $75 million. Net income at $75 million or $0.99 on a GAAP basis and $1.03 or up $0.14, up 16% for the year on an adjusted basis. All right. Let me turn now to the different segments. I am on Slide 5 and we will start with fluid metering. So FMT had an excellent quarter. As I mentioned before, sales and orders were up 5% and 6% respectively. Op margin, when you adjust for $1.6 million of restructuring, was up 300 basis point in the quarter. Obviously great results and you are seeing the benefit of the restructure of that overall cost structure within FMT and the impacts that you get from the volume leverage when you see the business turn. Water continues to be a very good story. Municipal and industrial markets are solid. We are seeing some seasonal trends that point towards a good second quarter for that team. And in particular, I think they have done some of the best work in the company around new product development. So we have got a couple of new products here that have been launched that I think are going to be good news for water here throughout 2017 and into the future. In terms of industrial fluids. Obviously, all the trends that I talked about impact that business probably as much as any within IDEX. We have see nice increases in North American distribution. An uptick in upstream oil and gas, albeit a small piece. And then some firming in Europe in the gulf region. So a decent improvement there in industrial fluids. Energy, I already mentioned earlier. Aviation business, the project funnel is very healthy and the stationary market is doing well. The mobile market which is really around LPG, has been softer and really should be, we expect it will be through the balance of the year. And then Ag, as I mentioned before, nice start to the year. We have seen some improvements, it's a good sign. But we think that will be overall, relatively slow improvement. I am on Slide 6 now. Let talk about health and science. So like FMT, strong first quarter. Organic orders are up 8%. Revenue was up 5%. If you exclude the $3 million of restructuring charges, HST had a 90 basis point increase in the quarter. One of the questions I would assume we are going to get is why that actually wasn’t a bigger increase in margins. And that’s really due to the mix of businesses within that portfolio here in the second quarter. But still very nice performance obviously. Life science and optics. The analytical instrumentation business, bio IVD end markets, all continue to be solid. And we are seeing really nice business wins in new products through the combination of fluidics and optics. Sealing had a great quarter. Our acquisition of SFC has turned out quite nicely along with some very nice business wins in the semi-con market by our sealing team. We made a substantial investment a few years ago in new capacity in the United States, really to allow us to attack the semicon and the energy markets and that is paying off well. Just as kind of an interesting note, in terms of volume in our Brenham, Texas facility is up ten times what it was this time last year. Now, albeit that was a start up volume but they have just done terrific job of getting up the speed and servicing some very demanding and important customers. On the industrial side, much like FMT, a nice pickup in industrial distribution in North America in particular. And then in our materials process business, pharma and the nutrition markets have been decent and our consolidation of a number of those sites into one significant site in North America is going quite well. All right, our last segment. I am on Slide 7 and we will talk about diversified. Organic orders were down 11% in the quarter and sales were up 1%. Just, I think this is an important note because I am sure we will get some questions on this too. Really the order decrease was relative to a very strong order book last year in our dispensing business that we are going to comp against and the order that we expected to follow has got pushed into the second quarter. So you will see some lumpiness in here, both you will see in the order book here and then as we look at the second quarter, you will see some lumpiness on the sales side. So nothing from an underlying basis to be concerned about really this is the lumpiest segment that we have and that shows up from time to time. We did see a margin decrease of about 70 points, all due to the impact of acquisitions. So very much in line with what we expected. Dispensing obviously had a great year in 2016. Orders and sales are going to be down in dispensing. We are down in dispensing and as I mentioned, you see a large order got pushed into the second quarter. Generally the markets remain stable and we have just got a great competitive position in that business. Fire and safety had a really nice quarter. The overall project funnel is strong. OEM activity is strong. The combination of our legacy buyer business with Akron and AWG, that strategy is playing out. And Akron in particular has had just a really strong results here since we bought the business just about a year ago. Band-It. Band-It had a nice showing here. The energy business was up. Transportation was solid. Obviously the upstream improvement that helps us in Band-It. And then North American industrial market has seen improvements also like in other parts of our business. Okay. Let's conclude here with second quarter and full year guidance. I am on Slide 8. So for the second quarter, we are estimating EPS to be in the range of $1.04 to a $1.06. Revenue to be up 2% to 3% year-over-year. Margins, and again some of that has to do with the timing of some larger things that are getting pushed about quarter to quarter. Operating margins will be about 21.5% and the Q2 tax rate we except -- I see it to be very favorable at about 26.5%. In terms of full year. Based on our performance here in the first quarter and raising our outlook here a little bit for the second quarter. We are expecting $4 to $4.10 for the year in earnings. We are also increasing our overall growth rate expectations to 3% to 4% and margins to be at about 21.5%. We should have about one point of impact from FX for the year. Corporate costs would be around $66 million and no changes in expectation of conversion of free cash flow. Still should be about 120%. As always, our guidance doesn’t include any impact of acquisitions or restructuring as we think about the balance of the year. So with that, Brenda, operator, I am going to stop here and turn it over for questions.
Operator: [Operator Instructions] Our first question comes from the line of Scott Graham with BMO. Please go ahead with your question.
Unidentified Analyst: This is [Katya] [ph] for Scott Graham. Could you discuss a little bit about what pricing for the company in first quarter was?
Andrew Silvernail: You know, very consistent, Katya, was what we have seen here in the past, which is about a point. So not a big deviation from what we have seen, and so pretty consistent with what we have seen over time.
Unidentified Analyst: And what about the inflation offset?
Andrew Silvernail: You know, actually we haven't seen a lot of inflation yet. I will note that obviously around some of the commodities have started to inch up. We do expect that that will start to be a bigger issue as we go through the year. Obviously, we have planned for it and we are mindful of the fact that with the improvement in outlook, you are likely to see some improvement or some increases in commodity prices. But generally, nothing has been a major offset yet. Bill, anything you would add on that?
William Grogan: I mean as we continue to monitor about inflation, we look for opportunities to pass on the cost.
Andrew Silvernail: Yes. We are really -- this is pretty high on our list, Katya about making sure we don’t get behind an inflation curve if that starts to pick up. And our expectation is it is going to, right. And so that’s something that is very high on our priority list as we look at the balance of 2017.
Unidentified Analyst: Just one more question, sorry about that. Can you discuss -- it looks like corporate expenses looks lower for the rest of the year. Can you discuss why?
Andrew Silvernail: No, it's pretty consistent. It is not meaningfully different from what we have talked about in the past. It's got 16 million-16.5 million in the quarter, plus or minus.
Operator: Our next question comes from the line of Nathan Jones with Stifel. Please go ahead with your question.
Adam Farley: This is Adam Farley on for Nathan.
Andrew Silvernail: You guys are all tricking us here this morning.
Adam Farley: First question’s on North American industrial. You called out in the press release that there was some improvement in larger capital projects. What markets are driving this improvement specifically related to the larger capital [projects] [ph].
Andrew Silvernail: It's actually pretty broad-based. Energy is a place that we have seen more of it, meaning upstream energy. We haven't started seeing it in the midstream yet, so to speak. But I think you are not seeing one place for your massive investment and not seeing in others. You are starting to see it. Now to be clear, right, it's not huge capital investment, it’s things that are just their larger projects that are starting to move through the pipeline.
Adam Farley: Okay. That’s helpful. Turning to gross margins. What are the sources of gross margin improvement? Is it COGS reduction, value pricing, maybe new product releases or all of the above.
Andrew Silvernail: It's actually -- it is all of the above. Pricing is about what we expected it to be, plus or minus. I mentioned when Katya asked a question, a point. The math is actually a little bit less than a point in the first quarter. But that’s about what we expected. You are getting some, obviously with our business, specifically FMT, you get a lot of volume leverage. These are very high contribution margin businesses, so you have seen the improvement there. And then just on an ongoing basis, the work that we have done around segmenting our portfolio and specifically our fixed businesses, we are getting more overall leverage in those businesses than we have in the past.
Operator: Our next questions come from the line of Mike Halloran with Robert W. Baird. Please go ahead with your question.
Mike Halloran: It's actually me. So first on sustainability here. Obviously, the confidence levels seems a lot higher , Andy, based on what you have seen over the last couple of quarters, I think three quarters in a row now of positive organic orders. Maybe take a layer deeper and just talk about how much you think is inventory replenishment, how much is going right to the end market demand? The project activity that you just commented on being broad-based seems favorable from a sustainability perspective, but maybe anything underneath there? And then also just how have things trended through the quarter through April? It sounds like March was good but some cadence on that too.
Andrew Silvernail: Mike, let me -- and I will start there. So March was really good, to be clear. Right. So I think when we got here the last time, our last call, we had mentioned that January had started well. January was a strong month for us. To be honest with you, February was kind of muted. And so part of my cautionary tone in my earlier prepared comments is when you look at our order book over the last three quarters, it's not like through any quarter we have had kind of sustained strength. You still see spottiness. So I am mindful of that. But March was really strong both in terms of orders and our ability to execute frankly. In terms of overall, kind of peeling back the onion, so to speak. The improvements that we saw were pretty broad based. And so it's not a singular market, and so obviously our life sciences businesses have been taller here for a long time and what we really saw -- what we have seen here in the last two quarters, specifically this quarter, is improvement in the core industrial business, the general industrial is kind of the big difference between now and six months ago. And we are seeing that across different businesses. In terms of it being inventory, do I think that some of it is inventory? I think it is probably a little bit, but as I have mentioned in the past, the stocking and de-stocking, it doesn’t impact us as much as it does I think in some other businesses. A lot of that has to do with -- we are doing a lot of value added stuff so we don’t have a ton of general products, right, of off the shelf stuff. So we don’t see that quite as much as maybe some others do. So I think it is more demand. That being said, what you do see in times likes these is people, where you do have [conbonds] [ph] customer [conbond] [ph]. You see them changing those levels, right. So they are going to take on more stock because they have got to meet more volatility of demand. So there is a little bit of that but I would say generally it's an improvement in market demand.
Mike Halloran: Makes a lot of sense. And then on the margin side. Historically we have always talked about how organic -- as organic revenue accelerates so too does that drop through for you guys. Put a nice drop in the quarter. When you look at the rest of the year, 1Q margins on a op basis are a little bit ahead of what the median for '17 looks like. So maybe talk about how the margins you expect through the year? Was there something in the first quarter besides maybe really the mix? Something else that drove, something that’s not repeatable as go -- moving forward? Or is there some level of conservatism being baked in? Some thoughts there would be great.
Andrew Silvernail: You know, Mike, we are only about 30 bps off of what we are talking about for the year. So it's not a big number, right. Number one. And that can flex a lot. If you look at the FMT margins, the FMT margins were very positively impacted by mix in this quarter and so up 300 basis points too. We do think that that we have definitely taken a step function, or not step function but another step in where our sustainable margins are. We do think we have reached a new level there. But we did have pretty favorable mix in FMT. In HST actually we had kind of negative mix. Our ceiling business had a really strong quarter and that’s from the lower end, still quite good, but it's on the lower end of margin mix. And so when I look at the year, that plus or minus 21.5%, that feels pretty good, the 21.8%. That’s within striking distance of that 21.5%. Not a big difference.
Operator: And your next question comes from the line of Charlie Brady with SunTrust. Please proceed with your question.
Unidentified Analyst: This is actually [Patrick] [ph] standing on for Charles. Just wanted to touch a little bit on growth investments. I think the last quarter you got top line [indiscernible] investments are around 11%, sort of a headwind on the bottom line, I guess, was for '17. How much of that has been realized in the first quarter and how should we think about how that is progressing the management thinking. This can potentially change now with higher growth, organic growth expected with that.
Andrew Silvernail: So we are right on track. The spending that we had planned in the first quarter to ramp that has happened. So nothing surprising there. And so I don’t see us -- from those planned investments, they are going to happen very much like we have outlined. With a little bit better environment, obviously will push you harder around investments. And so if what we have seen here in the first quarter sustain, I would expect that some of the investments will increase over the year. Not big numbers, Patrick, but I would expect us to make some further investments.
Unidentified Analyst: But I guess that number, the 11% number, probably would change even if you are thinking...
Andrew Silvernail: No, no. Yes, in terms of how it impacts our margin structure, no.
Unidentified Analyst: And can you maybe just talk a little bit more about, I guess sort of on that front. Some of the new product rollouts that you guys have. Maybe you have already done following the first quarter and sort of throughout the rest of the quarters here.
Andrew Silvernail: Yes. So it's pretty broad-based, right. So if you look at new products, we have the whole host of products that are launching in conjunction with our customers scientific fluidics. And those are things that take years to develop, right. And so we expected those to really kick in in '17. We have seen that happen. In our water business we have two significant new product launches around -- one on the meter side and one on the sewer pipeline side. We have a new product investment in [indiscernible] coming from our Viking business, and in dispensing we have got the next generation. As you know, the X-Smart has been excellent and a great product for us. And we are launching kind of the next phase of that which is in to the next level up market segment that we have been playing again for some time. So those are all kind of moving ahead. And these are things that have been in the pipeline for a long time for us.
Unidentified Analyst: Okay. Great. That’s good color. I guess just one more. I think you talked a little bit about sort of order rate, February being a little muted and March being probably little bit better than you expected. What is sort of the exit rate, I guess, for the orders coming out of March and what are these [indiscernible] are for the first, like 20 days of April.
Andrew Silvernail: Yes. It's fine. Orders have been kind of in line with our expectation in April. So no big deviation. March was definitely stronger than we had expected but February was softer, right. And so month to month orders, we obviously pay attention to it. I think the thing matters more to me now is the fact that we still see the volatility. So we have obviously the tone here in both in our release and our prepared remarks and what not. Obviously the tone is more positive. But that’s one of the reasons that I remain a little bit cautious is that volatility is still there. Certainly we are in a better position than we were 90 days ago in terms of our confidence level. But there is still volatility.
Unidentified Analyst: And that orders that you mentioned in FST, that’s being pushed into the second quarter. Is that -- I mean I know you said it's timing related, but what is the reason. Is that the customer has pulled back on that or?
Andrew Silvernail: Yes. The customer chooses. It's a matter of their readiness. So it's nothing I am concerned about. It's just -- we don’t have a lot of things that are on the larger side. And when things move by a few weeks, it has an impact.
Operator: Our next question comes from the line of Allison Poliniak with Wells Fargo. Please proceed with your question.
Allison Poliniak: Can I just go back to the margin assumption question that somebody had had. You talked about mix in FMT being more favorable in Q1. How should we think of that for the rest of the year and with our specific vertical with that mix that was driving that?
Andrew Silvernail: I don’t know that it's going to be as good as that for the year. And some of it's mix versus expectations but ag was better than we thought it was going to be, Allison. And as you know that’s very favorable for us. So that was kind of one that was better than expectation. And then when you peel back the business, as you know we have got a few brands that just have much higher contribution margins. I am thinking of the Viking and [indiscernible] is an example, right. And they had a better quarter. In terms of, for the balance of the year, again, I think in total we are in striking distance of kind of overall what we expected.
Allison Poliniak: Okay. That’s great. And then just your comments around obviously the rest out there. You bring forward the question about the sustainability or the early stage of the recovery. Obviously, order is great. You seem comfortable with the near-term outlook. But as you talk to your customers, is there a specific market that you are more concerned about the sustainability. I understand your concerns but I guess what are you seeing, I guess, from your customers that could be driving some of that.
Andrew Silvernail: I don’t have a specific -- I will not put my finger on anything specific. It's just much more -- I think your term early stage is a good way to put that in the industrial side. And there is we are literally six months out of a horrible industrial recession and so I am cautious about that and I am cautious about the [validity] [ph] of it. With a lot of things that are still pretty unpredictable out there and with a lot of positivity priced in, and I don’t mean just in the stock market but priced into confidence. And even in the last couple of weeks we have seen some of that, the negative side of that. And I am just -- I feel better about what we are seeing, no doubt about it. But I think we are very prudent to continue to manage our business for expected volatility.
Allison Poliniak: That’s great. And then just on FMT and water. You highlighted a lot of the new products. Strong order growth there. I don’t know, is there a way to parse out that. You are driving maybe above market order growth because of some of these new products. I don’t know, how you...?
Andrew Silvernail: I think so. So if you kind of take the -- let's just kind of take 5% growth and let's not take 5%, let's say 3% to 4% for the year, right. And you say how much of that you believe is just underlying market and how much of that is us outperforming the market. I think a combination of customer focus, meaning really around our segmentation work on new products, I think that’s going to get us a point or two above the underlying market. And so if you are three to four, I think we are going to get one to two of that where we are going to outperform our new products and customer focus, and the balance of that is going to be how the market has performed.
Operator: Thank you. Our next question comes from the line of Matthew Mishan with KeyBanc. Please proceed with your question.
Matthew Mishan: Starting off with HST. Could you maybe parse out a little bit around the order growth? What really drove the inflection to the 8% increase? Was it an increase in sealing, life sciences or like MPT?
Andrew Silvernail: So the industrial side was decent. The most strength came out of sealing followed by scientific fluidics and optics. So those two were really the stronger pieces. Sealing was by far the strongest grower in the quarter and has a little bit of that negative mix I talked about. Still quite good, don’t get me wrong. But just from an overall mix perspective, it's negative to the segment.
Matthew Mishan: And then you have been talking about, I guess, very strong products like in fluidics and optics in 2017 and 2018. Can we maybe talk about some of the advancements that are driving that for your customers?
Andrew Silvernail: The story is very very similar which is, it's really around our ability to bring an approved fluidic system into the whole host of customers. Whether it's IVD, bio, analytical instrumentation. You see those things the same but we are kind of taking more real estate and that is driven by really performance. And that’s a combination of our ability to move smaller things at higher pressures, higher quality and then the integration of optics and fluidics. So those are really the things that come together. And obviously that was a piece of thesis many years ago in bringing those businesses together and we are seeing that play itself through.
Matthew Mishan: Okay. Great. And then if I could just squeeze one last one. There was a large MPT order in 4Q. Did that ship in the first quarter and how much of the growth would be attributed to that?
Andrew Silvernail: Most of the second quarter.
Operator: Our next question comes from the line of Matt Summerville with Alembic Global Advisors. Please go ahead with your question.
Matt Summerville: Maybe just dig a little bit deeper into what you are seeing in the fire business. If you could part suppression versus safety and maybe provide a little bit of geographic color around that. I know in the last year there were some regions that were a bit more challenged than others. And then also can you speak to -- kind of provide an update on the fire acquisitions you made during 2016. I know you have kind of anniversaried Akron Brass at this point. So how you are performing in terms of driving margin improvement integration etcetera.
Andrew Silvernail: Matt, maybe I will start there. So the Akron integration has gone really well and certainly we are little bit better than our expectation and we had pretty aggressive expectations. And that’s gone well. That’s gone well on a number of levels. The product side, the channel side, obviously an improved cost structure. We are -- the thesis there, if you recall, was really bringing together, you know to close the loop with high value content on a fire truck and then electronics will increasingly play a bigger role. That’s not big yet but it will be an important piece of that. So that’s certainly at or above our expectation. In terms of the overall growth probably the biggest, I would say net positive compared to our expectations is the Chinese business has improved. Tenders which have been held off for quite some time have been released and we have won those. And by the way we have won competitive share there. So that’s probably the biggest thing in that overall fire and safety business.
Matt Summerville: And then just one more follow up on FMT. I know you kind of talked about the margins a little bit. Maybe I will use the term that you sort of back off a little bit and the step function. If you go back 12 to 24 months ago, you are in the 23% to 24% margin bandwidth. And now for the last two quarters you have been above 27%. I guess when you think about the mix dynamics in the business, what you deal going forward is the right sort of high low bandwidth on that business.
Andrew Silvernail: Yes. So I think in that 26%, 27% around FMT, that’s probably a bigger number here assuming kind of constant volumes generally. I think we are that range now. And you are right. The reason I corrected myself because I think step function is too greater term. But we have definitely made some movement. And that’s happened around a couple of things. Number one, as you know we had those businesses that we define as fixed. Probably the greatest proportion of those sat by FMT and that team really led by [indiscernible]. They have done a great job. There is lot of buying, they have done a terrific job. And by the way, they have done while launching new product, right. So very, very happy with that. But also within some of our bigger brands. If you look at the Viking brand or the [indiscernible] brand or even to a degree if you look at [indiscernible] that had a huge headwind. They held their own with pretty big headwind. And so we have made improvements in those businesses while they were facing peak to trough double digit headwinds, right. And they held their own. And so when you get to volume back in those things, it flows through to the bottom. So I will give Eric Ashleman, who is there COO, an awful lot of credit here with really driving that focus in the FMT businesses and helping them get to the kind of margin structure we expect.
Operator: Our next question comes from the line of Brett Linzey with Vertical Research Partners. Please go ahead with your question.
Brett Linzey: Just wanted to come back to the 2017 guide. So you are taking up the organic growth forecast, maintaining the point estimate on margins. Surprising, you are not getting a little bit better leverage there. If were to just adjust for investments in some of the M&A noise, where are the volume based incrementals that you are assuming for the business for 2017.
Andrew Silvernail: Boy, I would have to parse that through, right, in total. Separating out the new investments versus, as if you didn’t do new investments, what you get for leverage. That’s a tough one, right, to parse out. I think that the overall flow throughs that we are getting are very much in line with our expectations. I don’t see any big deviation from what we have thought about, talked about over time.
Brett Linzey: Okay. And then just back to some of the energy commentary. It sounds like it's still relatively muted overall. Could you just talk about what the order flow rates were in the quarter here into April, and was that total oil and gas business up in the quarter on a sales basis.
Andrew Silvernail: Well, Brett, you got to break that down a little bit because when we talk about energy, we have got our businesses that are -- liquid controls is an example. Our [indiscernible] brands. And those are by and large that all they do is energy. And then you have got pieces of sealing, of Band-It, of Viking that were in rough. That all touched that. So let me kind of break it down into what's kind of happening in the segment of the energy business. What I mean is, upstream, very strong, right. It doesn’t matter kind of what part of our business we are touching. But that’s only 2%, 3% of our IDEX volume. But that’s been up very very nicely. The midstream side is the part that’s much more muted and that’s really around LPG and that has to do with truck build. That’s the part that’s still soft and given what we see and the outlook of truck build, and we are pretty close to those customers, that’s not going to get better here and we don’t think for the balance of this year. So that’s how I would separate it out.
Brett Linzey: Okay. No, that helps. And just one more. Back to FS and DP. Do you have any sense as to or could you maybe quantify what the delta impact was on orders on those large projects last year. How large they were and then--
Andrew Silvernail: You mean comparison?
Brett Linzey: Yes, the comparison. And then also what was the size of these projects that got shifted from Q1 into Q2?
Andrew Silvernail: So you are talking -- it's of $10 million in total, right. And I am talking about what the comp and the push. So the tough comp to last year and the push to this year. That’s the kind of magnitude you are talking about.
Brett Linzey: Okay. So underlying orders were still relatively okay.
Andrew Silvernail: Good. Bill, will you add to that?
William Grogan: Yes. No, I would say fire and rescue was strong for the quarter as well as Band-It. Dispensing was the outlier relative to just host couple of projects that moved. So underlying order rates if you excluded that will be in line with the balance of the portfolio.
Brett Linzey: And Brett also when you look at the second quarter and you go, why is your organic point going to be 2 to 3 after coming off of 5. That’s part of what you are going to comp against. It's you are going to have that lumpiness is going to -- you got kind an orders lumpiness that hits you here and then you get a sales lumpiness that hits you in the second quarter. They will be creative on the order side from that in the second quarter but we are going to be hit on the sales side. That’s where we have put them, Bill.
Operator: Our next question comes from Bhupender Bohra with Jefferies. Please proceed with your question.
Bhupender Bohra: So just a question on -- when we look at the margins here, especially FMT, we have 300 bps improvement year-over-year. And historically, I think even in this release you guys talked about product activity. Can you give us some clarity like how much mix was? How much product activity actually benefitted margins overall in that particular business. I think you have pointed that as one of the margin improvements.
Andrew Silvernail: So it's the -- no, go ahead.
William Grogan: Maybe I would say, we have seen ratable improvement within our FMT margins over the last six months. As Andy talked about, some of the focused actions we have taken on some of the fixed business. So I think our underlying target is probably close to that 27% rate and then you are going to fluctuate off of that based upon the mix within the portfolio. So I think kind of fundamental improvements have gotten us close to that 27% and the mix will vary slightly off of that.
Andrew Silvernail: But in terms of splitting it between productivity and volume leverage, the [indiscernible] hand is in. Right. So you are talking about a business that in general is north of 65% contribution margin. And the key is as the volume comes back, we don’t have to add fixed cost at nearly the rate. Right. And that really kind of comes into productivity in and of itself. So they really go hand in hand, Bhupender.
Bhupender Bohra: Okay. So if I had to bucket that 300 bps improvement year-over-year, you would say like two-third kind of top line volume leverage and mix, and then one-third would be productivity kind of thing. Would that be fair?
William Grogan: You get price in their too, so.
Bhupender Bohra: Okay.
Andrew Silvernail: Yes. It's pricing in there. Honestly, we are probably getting to fine a level of detail to share probably. We don’t really get into that level of detail. But I think generally, right, the big impact here in the quarter that’s different from what you have seen in the last year is that change in leverage.
Bhupender Bohra: Okay. Got it. And as we go into the rest of 2017, as you have improved your organic guidance here, could you just talk about some of the end markets from all the three business perspective where you think -- which you think are going to be more -- little bit more positive from your perspective. You think there will be some incremental improvement or where you see headwind, if any, basically?
Andrew Silvernail: I think that the biggest difference from where we talked about a couple of months ago here, it's really around North American industrial. That’s the biggest inflection of anything that we have. And that shows up in FMT and in HST, right. It shows up, you see kind of the strength. The other place that obviously was a big differentiator for us within HST was of course the wins with semicon. And semicon has been good for us generally, the market has been decent. But the team has done an exceptional job of focusing in on a handful of core customers and on applications where we can really differentiate. And we have backed that up with major investment, right. So when we opened our new facility in Texas here a couple of years ago, it was all about our ability to win in the North American semicon and North American energy market. And obviously energy has been tough in the last few years but that thesis and that strategy has played itself out. So they are winning and they are winning well there. And that what's been a little bit loss in the shuffle. Although I did touch on it earlier. You know the team in scientific fluidics and optics, they saw this refresh. This 2017-2018 product cycle refresh years ago. And what they have done, what that team has done to be inside our customers to have concurrent engineering happening, we told you that’s about a year and half ago that this was going to happen and it's happening. And so the growth that they are getting is really from years and years of executing their strategy of more high value content by solving those customers critical problems. So they have just done a terrific job and it's paying out.
Operator: [Operator Instructions] Our next question comes from the line of Deane Dray with RBC. Please go ahead with your question.
Unidentified Analyst: This is [Jeff Reeve] [ph] on for Deane Dray. My question is more about your M&A pipeline. I am just curious how it's looking and which segments you are primarily focused on and if you have any other divestitures or portfolio pruning actions in pipeline.
Andrew Silvernail: Well, Jeff, maybe we will start there. So we don’t ever really get into the specifics about pruning but as I said in the past, we have done the vast majority of things that we are going to do from that perspective. And I think it's played out well and so generally I don’t expect to see us in the divestiture again in any major way here going forward. In terms of the M&A pipeline, it looks really similar to what it did back when we talked about the fourth quarter. You know it's robust in the sense that we have got a lot of target that we are working. I would say the private equity side, that’s been strong, which obviously gives you a little bit of caution because if the amount of stuff that’s been sold. And then prices are elevated. As markets improves, people's expectations raise and I think that being very very disciplined here is smart for us. So having a balanced capital allocation strategy is very important in these kind of markets. And buying businesses like SXT, like Akron, like AWG, that are in our sweet spot. And working those things really consistently, that’s how we are going to be successful. And so we are going to be very disciplined and we are going to be very consistent and over time we are going to put our balance sheet and our cash flows to work but it is going to be in a very disciplined way.
Unidentified Analyst: Okay. And a final follow on to that with equity valuation elevated as you said. Could we possibly see more acquisitions utilizing your own equity?
Andrew Silvernail: I guess, maybe I will answer that in a very big picture. I am not wholly against this. We would use equity if it made sense. The number of situations where I can possibly see us doing that are really really small. And obviously we have got the balance sheet and free cash flow that it would have to be a pretty special situation and obviously if we get more leverage by using our balance sheet. And so that would obviously be our first choice. But to say I would never use equity, that would be too strong. I would use it in the right situation.
Operator: Thank you. At this time we have no further questions. I would like to turn the floor back over to Mr. Andy Silvernail for closing comments.
Andrew Silvernail: Well, thank you all again for joining us here in our first quarter conference call. Obviously, I am really proud of how our teams have executed. They have done a terrific job when we had headwinds here for two, two and half years. I am really proud of what they have got done. And, yes, we are seeing some improvement in outlook and I am glad we have had the ability to raise our guidance and our expectation. I still remain cautious and I think we are all, it's all smart of us to not get it over our skis and our job is to execute for our shareholders. I appreciate the ownership, I appreciate the focus and we look forward to talk to you here in 90 days. Take care.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.